Operator: Ladies and gentlemen, welcome to the Aemetis Third Quarter 2019 Earnings Review Conference Call. At this time, all participants are in a listen-only mode. And a brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Todd Waltz, Executive Vice President and Chief Financial Officer of Aemetis, Inc. Mr. Waltz, you may begin.
Todd Waltz: Thank you, Jim. Welcome to the Aemetis third quarter 2019 earnings review conference call. We suggest visiting our website at aemetis.com to review today’s earnings press release, updated corporate presentation, filing with the Securities and Exchange Commission, recent press releases and previous earning conference calls. This presentation is available for review or download on the aemetis.com homepage. Before we begin our discussion today, I’d like to read the following disclaimer statement. During today’s call, we’ll be making forward-looking statements, including without limitations statements with respect to our future stock performance, plans, opportunities and expectations with respect to financing activities and the execution of our business plan. These statements must be considered in conjunction with the disclosures and cautionary warnings that appear in our SEC filings. Investors are cautioned that all forward-looking statements made on this call involve risks and uncertainties and that future events may differ materially from the statements made. For additional information, please refer to the company’s Security and Exchange Commission filings, which are posted on our website and are available from the company without charge. Our discussion on this call will include a review of non-GAAP measures as a supplement to financial results, based on GAAP. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is included in our earnings release for the quarter ended on September 30, 2019, which is available on our website. Adjusted EBITDA is defined as net income or loss plus to the extent deduced in calculating such net income; interest expense, loss on extinguishment, income tax expense, intangible and other amortization expense, accretion expense, depreciation expense, loss contingency on litigation and share-based compensation expense. Now, I’d like to review the financial results for the third quarter of 2019. Revenues were $57.4 million for the third quarter of 2019 compared to $44.6 million for the third quarter of 2018 driven by a 222% increase in biodiesel sales volumes from 6,000 metric tons to 19,300 metric tons. In addition, quarter-over-quarter volumes for biodiesel grew by 6,800 metric tons, or 54%, from 12,500 metric tons during the second quarter of 2019, and 5,300 metric tons during the first quarter of 2019. Revenues from the India segment were $19.6 million and accounted for 34% of total revenue. North America segment revenues softened by 2% from $38.6 million during the third quarter of 2018 to $37.8 million during the third quarter of 2019. Gross profit for the third quarter of 2019 rose to $4 million, compared to a gross profit of $2.7 million during the third quarter of 2018. India segment accounted for $4.2 million of the consolidated gross profits. Selling, general and administrative expenses were $4.5 million during the third quarter of 2019, compared to $3.9 million during the third quarter of 2018. Operating loss was $0.6 million for the third quarter of 2019, a reduction from the operating loss of $1.3 million during the third quarter of 2018. Interest expense during the third quarter of 2019, excluding accretion in connection with preference payments on the Series A preferred units in the Aemetis Biogas LLC subsidiary, was $6.3 million, compared to $5.4 million during the third quarter of 2018. Additionally, the Aemetis Biogas initiative recognized $589,000 of accretion in connection with preference payments on its preferred stock. Net loss was $7.2 million for the third quarter of 2019, compared to a net loss of $6.6 million for the third quarter of 2018. Cash at the end of the third quarter of 2019 was $0.9 million, compared to $1.2 million at the end of 2019. Now, I would like to review the financial results for the nine months ended September 30, 2019. Revenues were $149.9 million for the first three quarters of 2019, an increase of $17.2 million compared to $132.7 million for the first three quarters of 2018. This increase in revenues was driven by strong demand for biodiesel in India during the second and third quarters of 2019, as a result of supplying the India oil marketing companies as well as domestic retail, mining and bulk customers with biodiesel product. North America segment remained steady between the two periods. Selling, general and administrative expenses were $12.7 million during the first three quarters of 2019, compared to $11.3 million during the first three quarters of 2018. Operating loss increased to $6.0 million for the first three quarters of 2019, compared to an operating loss of $4.2 million for the first three quarters of 2018. Interest expense, excluding accretion in connection with preference payments on Series A preferred units in the Aemetis Biogas LLC subsidiary, decreased to $19.1 million during the first three quarters of 2019, compared to interest expense of $19.8 million during the first three quarters of 2018. Additionally, the Aemetis Biogas initiative recognized $1.5 million of accretion in connection with preference payments on its preferred stock. Net loss was $31.8 million for the first three quarters of 2019, compared to a net loss of $24 million during the first three quarters of 2018, due to a second quarter one-time charge of $6.2 million for loss contingency on litigation. That completes our financial review. Now, I’d like to introduce the Founder, Chairman and Chief Executive Officer of Aemetis, Eric McAfee, for a business update. Eric?
Eric McAfee: Thank you, Todd. For those of you who may be new to our company, let me take a moment to provide some brief background information. Aemetis was founded in 2006, and we own and operate production facilities with more than 110 million gallons per year of renewable fuel capacity in the U.S. and India. Included in our production portfolio is a 60 million gallon per year capacity ethanol, distillers grain and corn oil plant located in Keyes, California near Modesto. We also built, own and operate a 50 million gallon per year capacity distilled biodiesel and refined glycerin biorefinery on the East Coast of India near the port city of the Kakinada. Last year, we signed $30 million of equity funding and launched a renewable natural gas project to build biogas digesters at about a dozen local dairies near our ethanol plant in California. Construct a pipeline connecting the digesters to our plant and installed gas conditioning to produce carbon negative renewable natural gas to reduce the carbon content of our ethanol production and to displace diesel by fueling natural gas trucks. Earlier this year, we signed financing term sheets to fund a $175 million advanced ethanol production facility in California to convert waste orchard wood and other waste biomass into about 12 million gallons of cellulosic ethanol per year. We are now in the final engineering and procurement cycle prior to completion of project financing and commencement, the construction of the plant. The combination of these growth and cost reduction initiatives are expected to increase our revenue run rate to more than $500 million per year and annual cash flow to more than $130 million per year. This projected growth in revenues reflects certain planned and completed upgrades of our existing plants as well as plant completion of the new dairy renewable natural gas and cellulosic ethanol production facilities. Please see the Aemetis’ website homepage for an update presentation that sets forth each of our four business units and a consolidated financial projection for the next five years of company growth. With a consistent support of California regulators and continued strong California Low Carbon Fuel Standard credit prices, Aemetis made positive progress in each of our four core businesses during the third quarter of 2019. Let’s first review our biodiesel business in India. The total diesel market in India is approximately 25 billion gallons per year, of which less than 250 million gallons per year, or about 1% is biodiesel. The 2018 National Biofuels Policy increased the biodiesel blending target to 5% of the diesel market equal to more than 1.2 billion gallons per year. The national policy also outlawed the import or export of biodiesel into or out of India, thereby encouraging the expansion of domestic biodiesel and renewable diesel production capacity. After two years of investment in construction, we completed the upgrade of our India plant in early 2019, including installation of a pretreatment unit to process lower cost and waste feedstock into oil.  The biodiesel and refined glycerin plant is now fully operational using the new feedstock pretreatment unit, the new boiler unit and other upgrades that enabled expanded plant operations toward full plant capacity of 50 million gallons per year. On May 6, we announced that our Universal Biofuels India subsidiary was awarded a $23 million biodiesel supply contract with the three India government-owned Oil Marketing Companies in a public tender process. Biodiesel shipments to the Oil Marketing Companies began in May, and have quickly grown to comprise about 70% of monthly revenues at the India plant. We are particularly pleased with this arrangement, because these three government Oil Marketing Companies supply about 70% of the diesel fuel consumed in India, and as a group, represent the largest single potential biodiesel customer in the country. Under this contract, our biodiesel is now fueling trucks, buses, and even trains throughout India with lower cost biofuel that generates up to 90% lower particulate emissions and extremely low sulfur emissions. During the third quarter, the 222% increase in biodiesel sales volumes from 6,000 metric tons to 19,000 metric tons compared to the prior year volumes reflects our progress in supplying biodiesel to the Oil Marketing Companies, while also adding customers in mining, construction heavy equipment, truck fleets, retail stations and even other government sectors. We achieved the capital expenditure upgrades and revenue ramp up at the India plant while repaying 100% of the long-term debt at the India subsidiary and without any ownership dilution to our Aemetis parent company shareholders.  Aemetis effectively owns 100% of the India subsidiary, and as a result, may use the cash created from earnings to repay Aemetis senior debt and provide expansion funding for our other renewable fuels production projects. Additional Oil Marketing Company purchase request for biodiesel are expected for the year 2020, and we expect to continue to participate as a key supplier under these biodiesel contracts. During the months of December and January, we expect our primary constraint on biodiesel revenues growth in India to be the seasonal colder weather from rain and lower winter temperatures that limits the use of biodiesel in India without special fuel additives or blending facilities.  Once the existing production capacity becomes fully committed to supplying the expanding biodiesel markets, the India plant has a footprint to expand its capacity to 100 million gallons per year and to grow revenues to more than $300 million per year to meet an increasing biodiesel demand in India, driven by the 2018 National Biofuels Policy. In addition to the significant progress in India, our three businesses in the U.S. have achieved major milestones towards increasing revenues and sustained profitability.  Let’s review our California traditional ethanol business. Similar to our strategy in India, where we added a technology to allow the use of a lower-cost waste feedstock to produce biodiesel, we have been upgrading our Keyes, California ethanol plant to lower input costs, reduce the carbon intensity of our biofuel and significantly increase the value of the ethanol we supply to the 1.5 billion gallon California ethanol market. In May of this year, the Keyes plant successfully reduced carbon emissions under the California Low Carbon Fuel Standard by about three Carbon Intensity points. The credits were effective as of January 1, 2019, and generated about $250,000 per month additional value from our corn ethanol sales without an increase in operating costs. The second upgrade to the Keyes plant is a CO2 capture and reuse project that we expect will be complete in the next couple of months. After three years of project development, Linde Gas leased about five acres owned by Aemetis adjacent to the Keyes ethanol plant to build a CO2 liquefaction plant. Once completion, the CO2 plant will convert the 175,000 tons per year of renewable CO2 produced by our ethanol plant into liquid CO2 for sale to local food processors, beverage producers and other CO2 industrial users. The CO2 plant is scheduled for operation in Q1 2020, about $1.5 million per year of cash is expected to be received from CO2 sales and the land lease for the CO2 plant.  We also expect to qualify for a CO2 carbon capture and reuse federal tax credit that we calculate is worth more than $4.5 million per year and grows to about $9 million per year as CO2 production ramps to full capacity. We are currently working on an arrangement to monetize the tax credits with a financial partner.  The third upgrade to the Keyes plant is a construction of a $7 million membrane dehydration system financed by Mitsubishi Chemical of Japan as a strategic implementation of their ZEBREX technology for the first time at a corn ethanol plant. The Mitsubishi unit is currently in final equipment fabrication and it's scheduled for installation at the Keyes plant in Q1 2020. The ethanol dehydration unit is designed to significantly reduce petroleum natural gas usage and decrease the carbon intensity of our ethanol and once implemented is expected to generate an estimated $3 million per year of increased cash flow. Additional projects at the Keyes plant are targeted to further reduce natural gas usage and costs thereby increasing the number of Low Carbon Fuel Standard credits generated by low carbon biofuels each year. Now, let’s discuss our advanced low carbon renewable fuel strategy. With the extension of the Low Carbon Fuel Standard in California to year 2030 and the resulting increase in the price of California Low Carbon Fuel Standard credits from $62 in mid-2017 to $208 this month. We plan to produce increasing amount of valuable below zero carbon renewable fuels through the use of patented and proprietary technologies to convert dairy waste, waste wood and other cellulosic feedstocks into low carbon and below zero carbon renewable fuels. Our below zero carbon projects were developed to capture the most profitable opportunities in the renewable fuels industry by maximizing the California Low Carbon Fuel Standard and the federal Renewable Fuel Standard values. The California LCFS rewards the reduction of carbon content in renewable fuels. We believe that some of the highest value LCFS biofuel projects are from renewable natural gas generated by dairy biogas that would otherwise be released into the atmosphere as methane, and biocellulosic ethanol produced from orchard wood that would otherwise be burned or converts into methane. The federal D3 RIN price was set by Congress to provide investors with about $3.50 per gallon of value. However, D3 RINs are only generated by cellulosic ethanol and renewable natural gas, and not by other biofuels, such as corn ethanol, which generate other types of RINs. D3 RINs are the only carbon credit that has a waiver price set by Congress. Though D3 RINs have traded this below the cellulosic waiver credit price set by Congress, we expect an enforcement of the federal Renewable Fuel Standard will reestablish the CWC credit price as the D3 RIN price. Observing the high price available to D3 RIN and LCFS generation, Aemetis is building two advanced biofuels businesses comprised of the Aemetis biogas business to build California dairy renewable natural gas production and related pipeline collection projects and the Aemetis waste wood ethanol business to convert California waste orchard wood from about 1.5 million acres of almonds and walnuts orchards into cellulosic ethanol with about 1,200 dairies and more than 1.6 million tons per year of waste orchard wood within 150 miles of the Aemetis plant in California. Upon the successful completion and operation of these projects, Aemetis can grow to more than $500 million of annual revenues and $137 million of annual positive cash flow by converting waste dairy gas and waste orchard wood in the central valley California into valuable low carbon renewable fuels. Let’s briefly review our Aemetis biogas dairy digester and pipeline project. Methane, commonly known as natural gas, is a potent greenhouse gas that is up to 30 times more powerful carbon dioxide at capturing Earth’s heat. About 25% of California’s methane emissions are from the waste ponds on dairy farms. To reduce damaging methane emissions, in late 2016, California passed the law, known as Senate Bill 1383, that mandates the capture of biogas from dairies. Biomethane sourced from dairies can be used to replace gasoline or diesel fuel in trucks and buses to significantly reduce carbon emissions and air pollution. Along with the state mandate, California has funded about $75 million of annual matching grants to dairies to build biogas digesters and related systems. We believe that capturing biogas from diaries and turning it into renewable natural gas to generate negative carbon intensity biofuels is an excellent way to reduce climate change and create value for diaries and lower costs for diesel truck fleets. Based on our existing animal feed supply relationships with about 100 diaries and the ability to use biogas in our ethanol plant until utility pipeline approvals are obtained and pipeline injection is completed, we believe that Aemetis is uniquely positioned as one of only three ethanol companies in California who can use existing infrastructure in this manner. After more than a year of project development and financing work, earlier this year we announced a $30 million of equity financing and a grant award from the California Department of Food and Agriculture of two matching grants for a total of $3 million to build the first two diaries in our biogas project. Construction of the first two dairy digesters and related pipeline system is expected to be completed in Q1 2020, followed by the construction of an additional nine digesters, pipeline and gas conditioning systems during the full year of 2020. We expect the Aemetis Biogas business to scale up to generating more than $2 per share of recurring annual positive cash flow after completing the expanded plant project of more than three dozen dairies and redeeming the preferred stock issued to finance this project. Let’s listen with an update – I’m sorry, let’s finish with an update on our below zero carbon cellulosic ethanol project in Riverbank, California. We were pleased to announce last year that the Aemetis advanced biorefinery under development in Riverbank, California near Modesto was named as the number one waste-to-value project in the world by Biofuels Digest, the world’s largest daily biofuels publisher. The Aemetis project earned its number one ranking as a result of our fixed price, low cost almond and walnut wood waste contract for 20 years with a cost of about $20 per ton for the first half of the contract period. Planned production of high value cellulosic ethanol expected to be worth more than $5 per gallon, as well as valuable fishmeal and other bi-products and our use of the patented LanzaTech gas microbe ethanol production technology. The LanzaTech technology is now in full commercial operation at a plant that opened last year in Northern China and converts waste gases from a steel plant to produce ethanol. This year we announced three significant financings related to the Riverbank project; a $5 million California Energy Commission grant to fund engineering and equipment, a $12.5 million tax waiver that offsets equity funding required for the project, and the signing of a $125 million U.S. Department of Agriculture conditional commitment letter for a 20-year debt financing under the 9003 Biorefinery Program. We are focused on completing engineering of the plant required for negotiation of the EPC contract that will include a bonded, maximum construction cost as required by the USDA conditional commitment letter. The Riverbank cellulosic ethanol plant is expected to generate more than $80 million of revenue and more than $50 million per year of positive cash flow by producing cellulosic ethanol from low cost waste orchard vineyard forest and construction demolition wood as feedstock. The financial closing to begin construction of the Riverbank plant is expected in Q2 2020, primarily depending on the engineering and procurement work required for the signing of the construction contract. In summary, we believe that Aemetis holds a unique position with diversified production of low carbon renewable fuels in two attractive markets in California and India. The continued strong volume and revenue growth occurring at our India plant has been achieved while repaying 100% of our long-term debt in India. The increased profit margins from plant upgrades related to the Keyes bio refinery is expected to begin to be realized in Q1 2020. The Aemetis Biogas dairy digester and pipeline project is expected to begin first gas production in Q1 2020. And our planned deployment of the patented LanzaTech cellulosic ethanol technology at the Riverbank plant has positioned Aemetis to rapidly produce expanding positive cash flow from the production of low carbon, clean burning, high-performance renewable fuels from abundant, low-cost, waste biomass feed stocks. Now let’s take a few questions from our call participants. Jim?
Operator: Mr. McAfee, thank you. [Operator Instructions] We’ll hear from Ed Woo with Ascendiant Capital. Please go ahead. Your line is open.
Ed Woo: Yes, thank you for taking my question. My question is if you just comment on the current political state of ethanol and what do you think the outlook is near term?
Eric McAfee: I think we’re in a very important transition time in which between now and the end of the December the Environmental Protection Agency will determine what the renewable volume obligation is for next year for ethanol and for the next two years for bio diesel. And the President met with key biofuel political leaders, including Senator Grassley Ernst about a month ago or so, and agreed to an arrangement in which the EPA’s reduction of demand for biofuels will be offset by taking the three-year average of those reductions that had been granted to small refineries. And add that back into the current 2020 Renewable Volume Obligation. That political agreement was met with enthusiasm by the industry, but also a certain amount of concern that the EPA would not fully implement the rules. And that’s exactly what happened. About three weeks ago or so, EPA came out with their own little concept of how to do the calculation of the three-year average. And they took the Department of Energy’s estimates, which have been ignored in each of the last three years and averaged only half of the amount of waivers actually granted by the EPA in terms of volumes. So the net outcome of that has been what we or, I think, accurately reflecting as irritation and anger, I think, would be an accurate statement among the corn industry, soybean industry, the biofuels industry about the EPA not fully implementing the President’s agreement with industry leaders. And that political outcome is going to be – have to be determined in the next six weeks. We get to the end of December and the RVO is actually implemented January 1. So the blending percentages need to be known by January 1. I’ve been asked many, many times what my bet is on this and I make it very simple. You can’t go to Iowa and stand at the back of a pickup truck and announce that you think that we should import more oil from OPEC and we don’t need as many corn farmers, and soybean farmers, and the country banks, and schools that result from successful agricultural industry in Iowa. And so if you want to be President in United States there’s 28 states in which you have to stand up in the back of a flatbed truck and you have to announce that you want the 160 million acres of soybean and corn farmers in the U.S. to be successful. And the only growth market available to them is the biofuels market. To make biodiesel and renewable diesel from soybean oil, and to make ethanol and eventually jet fuel and other fuels from ethanol. So I think the political equation is extremely simple. There was only one Republican in the last presidential election that actually strongly supported ethanol and he’s now the President of United States. And so I think our current President has a choice to make. And last time he made the right choice, we’ll see that this time he makes the right choice. And he’s only got really about three to four weeks to make that choice. So my bet is he makes the right choice and that he decides that we need domestic renewable energy rather than further dependence on imported fuel from a very troubled part of the world.
Ed Woo: That sounds good. And you said this decision has to be made before the end of the year.
Eric McAfee: Yes, it needs to actually be posted to the federal register before the end of the year to meet the need of the industry, which start blending at that rate starting January 1.
Ed Woo: Great. And then my other question is just on your outlook for crude oil, I know it has impact on your India biodiesel business. How does it correlate with your business there?
Eric McAfee: The India oil marketing companies, is that what you’re talking about?
Ed Woo: Yes in terms of just the overall where crude price is now, now it’s been relatively stable. How does it impact good or bad your ethanol and your bio diesel business?
Eric McAfee: Yes, the crude oil price has been relatively stable around the $55 range. I just reviewed that actually looking over the last year or so. And we bobbled around a bit, but it’s really kind of been around the $55 number, we’re currently at $57 this morning. I think everybody is aware, that Saudi Aramco has the ambitions to go public on a global basis in London and New York. They pulled that back instead in a couple weeks, they are going to be going public on the Saudi Arabia exchange and going to raise significant less money than they originally expected. But they’re trying to raise it at evaluation that’s over $1.5 trillion. Saudi Aramco is the world’s most profitable company, but it’s entirely dependent upon the price of crude oil for those profits. And so it is my firm belief that Mohammad Bin Salman and the other folks who have to make decisions about the valuation of Saudi Aramco, will understand that a firm or slightly rising crude oil prices is in their better interest in the time period in which to trying to take Saudi Aramco public. And so to simplify the entire oil industry down to one country and one IPO transaction is in many cases and oversimplification, but in this one I don’t think it is. Saudi Aramco controls about 12 million barrels per day of production capacity. They have proven they can pull that back to as low as 7 million barrels per day just simply on the phone call. And so if they want the price of crude oil to be $5 higher, I think, have the independent ability to make that happen. And certainly they have a strong reason to want to do that in the next six to twelve months as they’re going to complete their first small IPO and then they’ve announced they’re going to do a larger follow-on offering in the New York and in London markets. So the Saudis are in – they have backed themselves into a corner in which they need the price of crude oil to be gradually rising. They’ve also announced it for their national budget. They continue to loan money to pay for the Saudi Arabian welfare economy. And they need about a $70 West Texas intermediate crude oil price to breakeven on their national budget. So they might have cheap crude oil, but they spend it all on 70% of their population under the age of 35 being unemployed. So it’s a welfare economy and they cannot afford to miss a payment on their welfare economy. So the Saudis in general, I think, are going to be pushing us north of $60 and into the $70 range, disregarding demand. Demand in Asia and India continues to rise. India is 5% per year increase in diesel year-over-year continues to happen. China even with their electric cars continue to be massive consumers of petroleum. So you do have a worldwide increasing market, averaged about 1.5 million barrels per day of increased demand every year for the last five years. This year it should be easily over a million barrels per day of increase demand. And so the Saudis have some flexibility to be able to decrease production in order to get the price that they’re looking for the world’s most profitable crude oil production company. Now, why do we care about that? In India we sell as a lower cost alternative to imported diesel. 80% of the diesel in India is imported. So we are directly correlated in India with that crude oil price. And so the excellent business we have now looks like on a revenue side is really – probably just in the growth phase in India, not only by expanded capacity, but by just expanded revenue per gallon. On India, the cautionary tale would be on the waste feedstock side. We have a matching that we do in India to reduce our speculative exposure in which we don’t buy our feedstock until we have contracts with our customers, or we have a merchant business within a few weeks of delivery. So we minimize, or I would say in most cases have no speculative exposure to feedstock costs. And that’s what’s going to drive margins next year is how the feedstock performs relative to crude oil. I’m moderately bullish on crude oil prices and we’ll see how the feedstock waste feedstock prices mature. But we had an excellent year this year of revenue growth, plant performance is excellent and expanding markets into mining and construction with recurring customers has gone – is now completed. Frankly, we’re just now growing our positions that we’ve already established. And so India is really slated to be a very strong revenue growth engine, pretty much despite whatever happens in the marketplace because we’re a billion gallons short of what the national biofuel policy of 2018 is set. And we’re actually being faced with the situation of timing when we’re going to double our capacity, which should drive our revenues to over $320 million. So India is a bullish revenue story and we’re looking to lock in margins as we make commitments to supply so that we have a predictable earnings flow that comes up as well.
Ed Woo: Great. Well thank you and good luck.
Eric McAfee: Thank you.
Operator: [Operator Instructions] 
Eric McAfee: I think we’re going to say thanks to the Aemetis shareholders today. If you want to follow-up with us directly, that’s fine. But we’ve got some other things going on here. So we’d very much like to follow-up with our shareholders and continue our dialogue about growth opportunities at Aemetis. Todd?
Todd Waltz: Thank you for attending today’s Aemetis earnings conference call. Please visit the Investor section of the Aemetis website, where we’ll post a written version and audio version of this earnings review and business update. Please visit the Investor section of the Aemetis website, where we’ll post a written version and a audio version of this, Aemetis earnings review and update. Jim?
Operator: Ladies and gentlemen, this does conclude today’s teleconference. And we do thank you all for your participation. You may disconnect your lines and we hope that you enjoy the rest of your day.